Operator: Good day, and welcome to the Natural Health Trends Corporation First Quarter 2015 Financial Results Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Jeff Stanlis with Hayden IR. Please go ahead.
Jeff Stanlis: Thank you, Ruth. I’d like to point out that during the course of the conference call, there may be statements made related to future results of the company that are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Actual results, performance, or achievements could differ materially from those anticipated in such forward-looking statement as a result of certain factors including those set forth in the company’s filings with the Securities and Exchange Commission. It should also be noted that the webcast for today’s conference call may be found not on the Internet by using Investors section of the company’s corporate website at www.naturalhealthtrendscorp.com. In addition, in the press release announcing the financial results, there are instructions for accessing the archived version of the conference call via the Internet. At this time, I’d like to turn the call over to Chris Sharng, President of Natural Health Trends for his opening comments. Chris, go ahead.
Chris Sharng: Thank you, Jeff, and thanks to everyone for joining us today. With me is Scott Davidson, our CFO. 2015 is off to a strong start with significant increases in our financial metrics across the board. Today, we reported first quarter revenue of $40.7 million, a 76% increase over last year, and increase in margins and net income that more than doubled over the same period of last year. We generated an overwhelming majority of our business from outside North America with Hong Kong accounting for 92% for the first quarter of 2015. Sales in Hong Kong increased more than 80% year-over-year as a result of the effectiveness of our training, product marketing, and incentive program. Most of our Hong Kong sales are from products that are delivered to members in China. As such, China continues to be the primary focus of our resources. Up to $10 million cash may be invested in our Mainland China entity in efforts to establish China-based manufacturing capabilities, invest in media advertising, open additional healthy lifestyle centers or branch offices, and fund to required deposits for China direct selling license application. We currently do not engage in direct selling in China. We sell products for personal consumption from Hong Kong. We have taken great care to make sure that we are not in violation of any Chinese law. The Chinese government knows this well in many jurisdictions at many levels. We put in substantial efforts to develop and maintain good working relationship with pertinent government departments. We do wish to secure a direct selling license in the future to add direct selling to our existing business practices knowing that there is no assurance for the timing or the outcome of this process. On the other side of the world, our North American business was up 123%, though off a small base, grew faster than our overall business. We are working on a pilot program to open retail locations to better serve our local customer base, particularly targeting areas with large Chinese-American population. Our first location will be in Southern California and we are researching a similar project in British Columbia, Vancouver. During the first quarter, we generated $16.6 million in operating cash flow compared to $8.3 million a year ago. The strong growth of revenue and earnings generated robust operating cash flow that provides us with the flexibility to reinvest in our business for continued growth as well as return a portion of the cash directly to our shareholders through dividends and share repurchases. On Monday, the company announced a 50% increase in our quarterly dividend, as well as special stock repurchases up to $5 million of the company's outstanding shares. Now, I'd like to turn the call over to Scott Davidson, our CFO, to discuss the financial details. Scott?
Scott Davidson: Thank you, Chris. And thank you everyone for joining us today. Total revenues for the quarter were $40.7 million, an increase of $17.5 million or 76%, compared to $23.2 million in the first quarter of last year. We saw a strong growth in Hong Kong with revenues increasing $16.9 million or 83% in the first quarter of 2015 compared to the same period last year. This increase was due to the effectiveness of our leadership development, promotional programs, incentives, new products, training, and event. Outside of Hong Kong, revenues increased $619,000 or 23% over last year. Deferred revenue was $10.4 million as of the end of the first quarter compared to $2.7 million at year-end. The $10.4 million deferred revenue balance mainly consists of $8.8 million in product orders that will be recognized as revenue when the product ships. Our active number of distributors increased 14% to over 62,000 at March 31, compared to three months ago. The comparable number a year ago was 35,000 active distributors. Gross profit margin for the first quarter of 2015 was 78.1%, compared to 77.3% in the same period last year. In the first quarter, net income was $6.7 million or $0.54 per diluted share, compared to $3.1 million or $0.26 per diluted share last year. Turning briefly to the balance sheet. We ended the quarter with cash and cash equivalents of $59.9 million, an increase of $15.1 million compared to December 31, due primarily to cash provided by operations as a result of the increase in product orders including those reflected in our deferred revenue balance. We had working capital at $30.9 million, an increase of $5.7 million compared to December 31. Lastly, yesterday the Board of Directors declared a cash dividend of $0.03 per share payable on May 29 to stockholders of record on May 19. That concludes our prepared remarks. I will now turn the call back over to the operator to begin the question-and-answer period. Operator?
Operator:
].: We will go first to Michael Potter with Monarch Capital Group.
Michael Potter: Hey, guys, congratulations on another terrific quarter.
Chris Sharng: Thank you for calling in, Mr. Potter; good morning.
Michael Potter: Good morning. Scott, just a quick question for you. Distributor numbers, I missed it; what was the distributor count for the Q1 2014, for last year?
Scott Davidson: Q1 2014 was just over 35,000.
Michael Potter: 35,000, terrific. Guys, I've a question on the dividend policy. Is the -- I know it’s a new Board of Directors and we got the uplifting. Are we going to move forward with a dividend policy where it’s going to be every quarter?
Chris Sharng: Mike, we are continuing to evaluate our cash flow situation and we have the overall goal of returning cash, a portion of our cash to the shareholders, so we don’t have an ongoing policy that is part of our ongoing evaluation.
Michael Potter: Okay. Thank you, guys. I’ll get back in queue.
Scott Davidson: Thank you.
Operator: Well, the next is Brian Lewis.
Unidentified Analyst: So, the question I have is there’s many students in colleges all across the United States and I heard that you were spending in the Southern California area. I wonder if your business plan think [ph] to work to connect the Asian market that is traveling to the United States in school.
Chris Sharng: Our business development is led by our leaders and some of them they reside in Southern California especially in the City of Monterey Park, the community east of that in Napa[ph] County, and they have taken us to a wide variety of potential customers. They may include some students, but we are hoping that we will support our leaders in those markets and make them effective in broadening the reach of our product.
Unidentified Analyst: Thank you very much. I will go back into the queue.
Chris Sharng: Thank you, Brian.
Operator: [Operator Instructions] We will go next to Jordan Qu with Valuestone Capital.
Jordan Qu: Hi, I want to know the deferred revenue ended the quarter, what $10 million, very high, and a year ago similar situation occurred. I want to know if this is recurring every year or what?
Chris Sharng: Thank you for calling, Jordan. We did have a high level of deferred revenue and that was due to the fact that this year, the Chinese New Year, was at a later date in the first quarter compared to a year ago, a very rapid increase in our order, and also some of our inventories were held up on the American West Coast because of the labor strike at various ports. We think that we can do better over time by reducing the deferred revenue, delivering more orders before quarter end, and that would be our operational goal. I don’t see that as a recurring situation even though we continue to have challenges for especially the quarter-end after the first quarter.
Jordan Qu: Thank you.
Chris Sharng: Thank you very much for calling in.
Operator: We will go next to Charles Peck[ph] with Merrill Lynch.
Unidentified Analyst: Yes, Chris, just wondering will we have the same type of growth between the first and second quarter like we did last year?
Chris Sharng: Thank you, Charles. We are not giving guidance, but I currently feel very good of our prospect in our current situation and our leaders are very motivated. I think we are doing great.
Operator: [Operator instructions]. We will go next to Rick Durst.
Unidentified Analyst: Hi, congratulations on great numbers. A quick question, China, China’s got to be a huge market for you. Do you have a strategy to get into China?
Chris Sharng: Yes, China is our most important and long term development project. We are in China for the long haul. We have a plan that we want to establish more local presence. Earlier this year, we obtained a manufacturing certificate. We will make some products in China that could be a base for us to apply for a direct selling license, and we’re working on that as well. We try to develop our government relation and we are putting some investment in for media advertising to promote the company as well as product. And so, we have a number of initiatives going on right now all with a goal of developing the Chinese market for the long term.
Unidentified Analyst: Good news, because I think it’s a gold mine.
Chris Sharng: I agree, I agree.
Unidentified Analyst: Okay. Well, good luck with that. And thank you for the great numbers and thanks for taking my call.
Chris Sharng: Thank you, Rick.
Operator: This does conclude today’s question-and-answer session. I would like to turn the call back over to management for closing comments.
Chris Sharng: Thank you, Ruth. And thank you everybody for calling in today. I look forward to speaking to you soon about our second quarter progress. Have a good day.
Operator: This does conclude today’s conference call. Thank you for your participation. You may now disconnect.